Operator: Greetings, and welcome to the ATO Fourth Quarter Earnings Conference Call. At this time, all participants in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Meziere, Vice President of Investor Relations and Treasurer. Thank you, sir. You may begin. 
Daniel Meziere: Thank you, Maria. Good morning, everyone, and thank you for joining our fiscal 2022 fourth quarter earnings call. With me today are Kevin Akers, President and Chief Executive Officer; and Chris Forsythe, Senior Vice President and Chief Financial Officer. Our earnings release and conference call slide presentation, which we will reference in our prepared discuss future expectations, please keep in mind that some of our discussion might contain forward-looking statements within the meaning of the Securities Act and the Securities Exchange Act. Our forward-looking statements and projections could differ materially from actual results. The factors that could cause such material differences are outlined on slide 39 and are more fully described in our SEC filings. With that, I will turn the call over to Kevin. 
Kevin Akers: Thank you, Dan, and good morning, everyone. We appreciate your interest in Atmos Energy and are glad you joined us this morning. As tomorrow's Veterans Day, I would like to take this opportunity to thank you and to say thank you to those who served in our own forces and approximately to the 300 of our Atmos Energy teammates as part of the nearly 20 million Americans who have bravely served our country. Thank you for your service. Yesterday, we reported earnings per share of $5.60, which represents the 20th consecutive year of earnings per share growth. Chris will provide some additional color around our financial results later in the call. I will begin today's call with a review of our fiscal 2022 accomplishments, provide an update on key pipeline projects, and we'll close with some thoughts about fiscal 2023. Our success in fiscal 2022 was once again reflected by the commitment and ongoing effort of all 4,800 Atmos Energy employees. I've said it before, and I will say it again, they are the heart and soul of Atmos Energy and provide the foundation for the sustained long-term success of our company. Fiscal 2022 was our 11th year of executing our proven investment strategy of operating safely and reliably, while we modernize our natural gas distribution, transmission and storage systems. Over that 11-year period, we invested over $15 billion in modernizing and expanding our natural gas systems, replacing approximately 6,300 miles of distribution pipeline, approximately 440,000 steel service lines and over 1,200 miles of transmission pipeline. That same 11-year period, we added nearly 400,000 customers, including over 62,000 customers during fiscal 2022. And we continue to see strong natural gas demand from new and expanding industrial customers. In fiscal 2022, we added approximately 50 new industrial customers with an estimated annual load of 20 Bcf per year once they are fully operational. Over the last three years, we have added nearly 120 industrial customers with an estimated annual load of 35 Bcf. And these customers are from various industries, manufacturing, food processing, hospitals, automotive and distilleries. Our fiscal 2022 capital investment of over $2.4 billion supported the modernization of our distribution and transmission systems through the replacement of 715 miles of distribution pipe, the replacement of more than 47,000 service lines, of which 24,000 were steel service lines and over 155 miles of transmission pipe, all to further enhance system safety and reliability. Additionally, we installed over 200,000 wireless meter reading devices and now have over two million such devices across our system. I want to take this opportunity to highlight and thank our procurement team for their focus, dedication and continued outstanding efforts to have the necessary materials and resources available for our distribution, transmission and storage projects. Just as they had done throughout the past decade, their strategic planning efforts have us well positioned for continued execution upon our strategy in fiscal 2023. For example, we currently maintain about six months of inventory for our distribution and transmission operations needs and have ordered all of our anticipated steel pipe needs for fiscal year 2023. We continue to coordinate with our vendors and pipe mills as we place our FY 2024 steel pipe orders. Now, I want to provide you an update on a few of our larger Atmos Pipeline-Texas projects and highlight their value in safety, reliability, versatility and supply diversification that they provide APT and its customers. We are nearing the completion of APT's third salt dump cavern project at Bethel, which will provide more than 6 Bcf of additional working gas storage capacity. We began selling the new cavern this week and remain on track to place the cavern in service by the end of the calendar year. We are also nearing completion of the second phase of our Line X integrity replacement project, which we will replace 63 miles of 36-inch pipeline. This project is also on track to be completed by the end of this calendar year. As a reminder, Line X runs from Waha to Dallas, and is key to providing reliable service to the local distribution companies behind APT system as well as transportation customers that move gas from Waha to Katy. We continue to make good progress with our line S-2 project that has three phases. As a reminder, Line S-2 brings supply from the Haynesville and Cotton Valley shale plays to the east side of the growing Dallas-Fort Worth Metroplex. Phase one of the project replaced 21 miles of 14-inch pipeline with 36-inch pipeline and was placed into service the first quarter of fiscal 2022. In Phase 2 of Line S-2, we'll replace 17 miles of 14-inch pipeline with 36-inch pipeline. We expect this to be in service late calendar this year. The final phase of this project is anticipated to be in service late calendar 2024. And again, this project will provide additional supply from the shale plays east and bring that gas into the growing Dallas-Fort Worth Metroplex. To support the forecasted growth and increased supply diversity to the north of Austin and Williamson County, Texas, we have begun work on a 22-mile 36-inch line that will connect the southern end of APT system with the 42-inch Permian highway line that runs from Waha to Katy. This line is currently expected to be placed into service during the second quarter of fiscal year 2023. As you've heard in my previous updates, our customer service agents and service technicians provide exceptional customer service and support. During fiscal year 2022, our agents and technicians received a 98% satisfaction rating from our customers. Thank you team for taking exceptional care of our customers every day. Our strategic focus on digital build delivery and payment options is yielding benefits as over 50% of our customers are receiving electronic bills while the utility industry average is 33%. And 81% of the total payments we received as of September 30 this year were electronic methods of payments such as bank drafts, credit cards and online banking. During fiscal 2022, we provided approximately 260,000 hours of training. And in September, we reached a milestone of delivering 2 million training hours since the opening of our Charles K. Vaughan training center in 2010. In fiscal 2022, we continued enhancing our comprehensive environmental strategy focused on reducing our Scope 1, 2 and 3 emissions and environmental impact from our operations in the five key areas of operations, fleet, facilities, gas supply and customers. Our efforts in fiscal 2022 to reduce emissions and our environmental impact included our ongoing distribution and transmission system modernization programs that I mentioned earlier. And at our 5 APT storage fields, we completed the installation of gas cloud imaging technology. These 360-degree fixed-based cameras will continuously monitor our compression and storage field assets for methane emissions. And if necessary, the technology will send alerts, including images to our plant operations employees in addition to text and e-mail alerts. Additionally, in fiscal 2022, we continued our installation of advanced wellhead leak detection at our distribution storage facilities. And we expanded our system monitoring technologies by adding additional advanced mobile leak detection vehicles as well as implemented technology to capture methane emissions from pipeline maintenance activities. From a fleet and facilities perspective, we began transitioning our fleet to gasoline hybrid light-duty vehicles and to CNG for our heavy-duty vehicles. Additionally, we are adding CNG refueling stations at our Fort-Worth and Round Rock facilities, both of which are scheduled for completion by end of this calendar year. At our corporate data center, we installed a natural gas-powered fuel cell to generate high efficiency, grid-independent electricity with low emissions. The fuel cells reduced our emissions at the data center by 27%. This is truly another example of how natural gas plays a pivotal role in lowering greenhouse gas emissions while increasing reliability to our critical facility. We have 2 new service centers that are pending leadership in energy and environmental design or LEED certification. If certified as expected, this will be the total number of LEED-certified facilities we have to 17 or approximately 11% of our total facilities. We are currently transporting approximately 8 Bcf a year of RNG across our system for end-use customers, and we are evaluating over 30 opportunities that could further expand the amount of RNG that we are transporting today. Finally, we are partnering with local habitat for humanity organizations in each of our eight states to provide families with zero net energy homes. These homes use high-efficiency natural gas appliances, rooftop solar panels and advanced insulation materials to produce more energy than they consume. During fiscal 2022, we completed five new zero net energy homes in Texas and one home in Ansbro, Kentucky, and we are scheduled to complete a home in Jackson, Mississippi, this December. We recently broke ground on a home in Dublin, Virginia and expect to complete construction in the spring of 2023. The seven ZNE Homes that we have completed in the last 14 months demonstrate the value and vital role natural gas plays in helping customers reduce their carbon footprint in a cost-effective manner. To wrap up fiscal 2022, our 4,800 Atmos Energy employees through our fueling safe and thriving communities initiatives made a difference in the lives of others by supporting schools and students with books, meals and snacks. We honored our health care workers and first responders by supporting more than 140 nonprofits, dedicated to taking care of our hometown heroes, supplying them with meals and needed supplies. We planted trees and worked in our community gardens. Our team hosted utility fairs and energy assistant blitzes to support our share of the [Indiscernible] program for over 11,000 customers and donated $7 million of financial support. And for local -- and for 300 local food banks and shelters, the financial and voluntary resources [Indiscernible] provided translated into nearly 9 million meals for our neighbors in need across our 1,400 communities. I am very proud of our team because of their investment of time, talent and resources, we are making a difference in our communities. A successful fiscal 2022 has us well positioned as we move into the second decade of our strategy. I'll now turn the call over to Chris, who will provide some additional color around our fiscal 2022 financial results and discuss our fiscal 2023 guidance and updated five-year plan through fiscal 2027. I will then return with some closing comments. Chris, over to you.
Christopher Forsythe: Thank you, Kevin, and good morning, everyone. As Kevin mentioned, fiscal 2022 diluted earnings per share was $5.60, which represents a 9.4% increase over fiscal 2021. Our performance reflects the continued execution of our proven strategy of modernizing natural gas distribution, transmission and storage systems, recovering our cost timely and financing our operations in a balanced manner. We also continue to experience strong customer growth, and we saw a significant improvement in our bad debt expense, both of which offset lower customer consumption and increased O&M spending. Slides four through six provide some details summarizing our financial performance for the fiscal year. Consolidated operating income increased $220 million from rate adjustments implemented in fiscal 2021 and fiscal 2022. These adjustments were primarily driven by safety liability and system expansion spending. Approximately 68% of this increase is recognized in our distribution segment. We continue to see robust customer growth in our distribution segment, which increased operating income by an additional $15 million. This growth offset a $17 million decrease in consumption, most of which occurred during the second fiscal quarter. Additionally, we experienced a $31 million increase in consolidated O&M expense. O&M, excluding bad debt expense, increased $56 million, primarily driven by increased pipeline maintenance activities in both of our segments and employee-related costs compared with the prior year. This increase was partially offset by a $25 million decrease in bad debt expense as we were able to perform collection activities for our full fiscal year. In comparison, in the prior year, we resumed collection activities late in our third fiscal quarter. This decrease also reflects the exceptional work of our customer service team in assisting customers with their bills. During fiscal 2022, we arranged only $34 million of funding to help 67,000 customers with their monthly bill. As a result, our bad debt expense in fiscal 2022 was in line with our pre-pandemic experience. Finally, reductions in fiscal 2022 revenue associated with the refund of excess deferred tax liabilities reduced operating income by approximately $112 million. This reduction was substantially offset by lower income tax expense. Consolidated capital spending increased 24% or $475 million to $2.4 billion, with 88% dedicated to improving the safety and reliability of our system. This increase primarily reflects the increased system modernization, integrity and expansion spending to meet the growing natural gas demand in our service territories. Approximately 90% of this spending began to earn a return within six months of the test period end. We accomplished this by implementing $216 million of annualized operating income increases excluding the amortization of excess deferred tax liabilities. And since the end of the fiscal year, we have reached agreement with our regulators in an additional $112 million in annualized operating income increases during our fiscal 2023 first quarter. As of today, we have two filings pending exceeding about $16 million. Slides 29 through 38 summarize our regulatory activities for fiscal 2022. During fiscal 2022, we completed over $1.6 billion of long-term debt and equity financing to support our ongoing operations. We fully satisfied our fiscal 2022 equity needs through our ATM equity sales program. As of September 30, we had about $777 million available under existing equity forward arrangements that will fully satisfy our anticipated fiscal 2023 needs and a portion of our anticipated fiscal 2024 needs. This equity financing complemented the $800 million of long-term debt financing we issued during fiscal 2022. We also continue to make progress in securitization. In Texas, we anticipate receiving $2.0 billion from the Texas public financing authorities within the next few months. We'll use the proceeds and available cash on hand to fully retire the $2.2 billion in interim winter storm financing that matures in March of 2023. This will eliminate all of our exposure to floating rate debt. In Kansas, on October 25, the Kansas Corporation Commission issued a financing order authorizing us to securitize $118 million in gas and over cost over a seven to 10-year period. We anticipate completing the securitization process by the end of our second fiscal quarter. As a result of these financing activities, our equity capitalization at the end of fiscal year, excluding the $2.2 billion of winter storm financing or 61.3%. Additionally, we finished the fiscal year with approximately $3.1 billion of available liquidity. In October, we issued $800 million of long-term debt through two tranches. First tranche was a $500 million 30-year senior note with a coupon of 5. 75%. We had financially hedges tranced and received $197 million upon settlement of forward starting interest rate swap, which reduced the effective rate of 4.5%. Second tranche was a $300 million 10-year senior note with a coupon of 5.5% because we have already satisfied our fiscal 2023 equity needs through our ATM program, this transaction and completed our anticipated fiscal 2023 financing activities. Details for our financing activities and our financial profile can found on slides nine and 12. Finally, we finished the fiscal year with a very well-funded pension plan. Based on the current funded position of the plan and the funding requirements in the Pension Protection Act of 2006, we do not anticipate the need to make a minimum required contribution during fiscal 2023. In addition to addressing our fiscal 2023 financing needs, during the fourth quarter of fiscal 2022, we've also been preparing to ensure supply reliability and competitive natural gas prices for our customers for the upcoming winter heating season. Our gas supply team has done an outstanding job preparing for the upcoming winter heating season. Our proprietary and contracted storage is over 96% full. Additionally, we have physically and financially hedged 23% of our expected winter purchase requirements. Through the use of storage and physical and financial hedges, we have stabilized prices for just under half for our normal winter usage in the mid-$5 range. The remainder of our anticipated gas supply needs will be satisfied through a combination of base load purchases at first-of-month prices, peaking contracts and storage purchases when needed. Today, we have transportation capacity of 38 pipelines across our eight-state footprint, which provides our team access to a wide variety of liquid-traded producing basins. Further, a significant portion of our gas supply needs will continue to be sourced from Waha, which has traditionally traded below NYMEX and Henry Hub pricing. As a reminder, all prudently incurred gas costs recovered through purchased gas cost mechanisms generally over 12 months. This calculation generally involves a weighted average approach, which helps to smoothly impact on customer bills. Additionally, as a reminder, we have the opportunity to recover the gas cost portion of bad debt expense through a purchase guidance cost mechanisms in five states, which covers approximately 81% of our distribution customer base. Finally, we continue to actively communicate with our customers about how they can mitigate the potential impact of higher gas prices through energy conservations and how we can help by offering installment plans and budget billing plans and locating energy assistant agencies. Looking forward, yesterday, we initiated our fiscal 2023 earnings per share guidance in the range of $5.90 to $6.10. Consistent with prior years, we expect about two-thirds of our earnings will come from our distribution segment. Details surrounding our fiscal 2023 guidance can be found on slides 20 and 21. Fiscal 2023 capital spending is expected to approximate $2.7 billion. Already 5% of this spending is expected to begin earning a return within six months of the test period end. Substantially, all this increase we incurred in our distribution segment to support our system modernization efforts. Spending on our pipeline storage segment is expected to be in line with fiscal 2022 levels and is expected to represent approximately one-third for consolidated capital spending in fiscal 2023. And yesterday, Atmos Energy's Board of Directors approved a 156th consecutive quarterly cash dividend. The indicated annual dividend for fiscal 2023 is $2.96, an 8.8% increase over fiscal 2022. Slide 19 summarizes the key themes under our fiscal 2023 five-year plan. In short, these themes are very consistent with what we have been presenting over the last several five-year plans. Over the next five years, we anticipate earnings will grow annually at 6% to 8%. By fiscal 2027, we anticipate earnings per share to be in the range of $7.65 to $8.05. We also anticipate dividends per share to increase annually in line with earnings per share. Continued spending for system replacement and modernization and expansion will be the primary driver for the anticipated increase in capital spending, net income and earnings per share from fiscal 2027. This plan anticipates total capital spending of approximately $15 billion. This level of spending will continue to support rate base growth of about 11% to 13% per year, which translates into an estimated rate base of approximately $25 billion in fiscal 2027, up from $14 billion at the end of fiscal 2022. From an O&M perspective, we will continue to focus on compliance-based activities that address system safety. For fiscal 2023, we anticipate O&M to range from $700 million to $720 million, and we've assumed O&M inflation of 3% to 3.5% annually through fiscal 2027 off of FY 2022 levels. In addition to the spending plans I outlined, we have assumed approximately $435 million in excess deferred tax refunds over the next five years. We anticipate about 65% of this amount will be refunded during fiscal 2023 and fiscal 2024. As a result, we expect our effective income tax rate in fiscal 2023 to range between 10% and 12%. We've also planned for becoming a material cash taxpayer in the back half of the five-year plan because of the 15% corporate minimum tax that was included in the Inflation Reduction Act that was passed this past August. We've continued to finance our operations in a balanced fashion using a combination of long-term debt and equity to preserve the strength of our balance sheet. Excluding securitization, we anticipate the need to raise between $8.5 billion and $9.5 billion in incremental long-term financing over the next five years. As I mentioned earlier, we've already satisfied $1.5 billion of this anticipated need. Strength for our balance sheet enables us to use that prove the mix of long-term debt and equity financing to target a 50% to 60% equity capitalization ratio, inclusive of short-term debt. This financing plan has been fully reflected in our earnings per share guidance through fiscal 2027. To mitigate interest rate risk associated with our anticipated long-term debt financing needs beyond fiscal 2023, we currently have about $1.35 billion before starting interest rate swaps to effectively fix the treasury component of our total cost of financing at rates ranging from 1.5% to 2.2%. Additionally, as I mentioned a few minutes ago, once we repay the interim winter storm financing, we will have no floating rate debt, which further mitigates interest rate risk. See slide 12 for details. And our debt profile remains very manageable with a weighted average maturity of 18 years and a weighted average cost of debt of about 3.78%, excluding the $2.2 billion of incremental financing related to Winter Storm Uri, and no material refinancing needs until fiscal 2027. From an equity perspective, utilizing our ATM program is a preferred method for raising equity. As I mentioned earlier, the equity forwards we executed during fiscal 2022 has fully satisfied our anticipated fiscal 2023 equity needs and a portion of our fiscal 2024 meetings. The execution of this plan to modernize our system through disciplined capital spending, timely recovery of those investments through our various regulatory mechanisms and balanced long-term financing all supports our ability to grow earnings per share and dividends 6% to 8% annually through fiscal 2027. And as you can see on slides 25 through 27, the execution of this plan will also keep our customer bills very competitive from a cost perspective compared with other common utility bills in the customer household. Thank you for the time this morning. I will now turn the call back over to Kevin for his closing remarks. Kevin?
Kevin Akers: Thank you, Chris. As you heard this morning, we have taken several steps to mitigate execution risk in fiscal 2023. As I mentioned in my opening remarks, our procurement team has done an excellent job of sourcing the materials needed to support our capital spending program in fiscal 2023. Our gas supply team has us well positioned for the upcoming heating season. And as Chris noted, our fiscal year 2023 financing costs are known, and we have hedged a significant portion of our financing needs beyond FY 2023. I'm very excited about our direction and long-term sustainability of Atmos Energy. The foundation has been set with a proven safety-driven accompanied with organic growth that yield 6% to 8% fully regulated earnings per share. Commensurate dividend per share growth supported by a strong financial profile. We operate in a diversified and growing jurisdictional footprint that is supportive of our natural gas investment and natural gas infrastructure. 98% of our rate base is situated in six or eight states that have passed legislation in support of energy choice. We have constructive regulatory mechanisms that support the necessary capital investments to modernize our natural gas distribution, transmission and storage systems. We have a long runway of work to support the planned $15 billion in capital spending over the next five years. And as you can see on slide 16 and 17, this spending will support the replacement of 5,000 to 6,000 miles of distribution and transmission pipe or about 6% of our total system. We also plan to replace between 120,000 and 170,000 steel service lines, which is expected to reduce our inventory by approximately 20%. Focusing on long-term sustainability has always been a part of our strategy and is reflected in the vital role we play in every community. That is delivering safe, reliable and efficient natural gas to homes, businesses and industries to fuel our energy needs now and in the future. We appreciate your time this morning, and now we'll open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Richard Sunderland with JPMorgan. Please proceed with your question.
Richard Sunderland: Hi good morning and thank you for the time today. Starting on the O&M side, your 2023 guidance implies a higher step-up relative to the 3% and 3.5% target. What are the drivers of the higher near-term O&M inflation? And then maybe more broadly, how do you think about O&M as a lever to manage customer bill impact overall?
Kevin Akers: Yes, I'll start and then hand it over to Chris. As we've moved out of the pandemic and moving forward, we continue to work with our vendors, our contractors. We've got long-term contracts in place. Some of those have been updated to reflect inflationary costs here recently. All of those are included in the numbers that we've laid out in the 2023 and the five-year plan there. Additionally, such things as line locating, leak survey, we've incurred some additional costs there. But again, all within the parameters laid out there, and we think we have ourselves well positioned to have an understanding of those costs as we continue to move forward. And as far as levers going forward, we have the same opportunity for levers that we had as we were in the pandemic. It's been like travel, even though we're back and trying to find our new normal on a day-to-day basis here, we're not fully traveling to all events or activities that we did pre-pandemic, taking advantage of the technology such as Teams or Zoom meetings, those sort of things that are out there. And some of the things that Chris outlined in our strategy, financing strategy and some of the outcomes there are all things that fold into reducing that O&M as well and trying to keep cost tamping down on a going-forward basis. So Chris, any additional thoughts? 
Christopher Forsythe: Yes. The only other thing that Kevin, I would add is, and Rich, you've heard us talk about this before the last couple of years in terms of levers. We are -- a lot of this O&M spending or virtually all of it is focused on safety, maintenance and compliance. And so we have the opportunity to continue to expand those types of activities. There is a little bit of inflation in the numbers, as Kevin alluded to, but we are not a just-in-time safety or compliance company. So, we're looking forward in 2023 to kind of staying ahead of the curve, if you will, on those type of activities. So if there is, in fact, a need to pull in a lever, as Kevin alluded to, again, we have that opportunity. So that's really what's driving it. There is really no -- anything new or different in the underlying activities. We're just seeing higher activities across the entire system, as Kevin mentioned. Line locating, we continue to do, enhanced leak survey activities, but we're also seeing a little bit of cost increases through inflation as well.
Richard Sunderland: Got it. That's very helpful color. And just a quick follow-up on that front. So I understand your point about some of these vendor contracts rolling in at higher inflationary costs, is this a trend you expect to continue into 2024? How do you see that kind of moderating over time to get back to the 3% to 3.5% outlook? 
Kevin Akers: Yes, we continue to have conversations with our contractors and service providers as well. Right now, I think we're well positioned. I don't want to try and peer into a crystal ball to see what's out there. But again, we're very comfortable with what we have into our plan. As it sits today, the conversations we're having with our contractors, vendors, suppliers on cost as they see them going forward and that we've accurately captured those at this point.
Richard Sunderland: Got it. That makes sense. And just quickly switching gears, several months until Texas securitization proceeds, if I heard you correctly in the script, just any color on the process from who you are and what you're watching for on this front? 
Christopher Forsythe: Yes, Richard, we're obviously in close contact with the Texas financing authority. There's a lot of questions that we and all the participating utilities are having and the process is moving along as quickly as they can. And I said within the next few months -- so we were hoping before the end of the calendar year to potentially slip into early 2023. But again, we're working diligently alongside our other participating utilities and the TPFA to get this wrapped up as quickly as possible.
Richard Sunderland: Understood. Thank you for the time today.
Christopher Forsythe: Thank you.
Kevin Akers: Thank you.
Operator: Our next question is from Gabe Moreen with Mizuho. Please proceed with your question.
Gabe Moreen: Hey good morning everyone. I'm just wondering if you could give us an update on sort of the customer growth outlook going forward here, whether you've seen any signs of changes given, I guess, the slowdown in the housing market? And whether you think you're going to be in that 1.5% to 2% annual range from a customer growth standpoint?
Kevin Akers: Thank you. Obviously, the existing housing market with the increased interest rates, we see some slowdown across our service territory for that. But the new home market, according to our builders, our developers, our folks on the ground across our service territories and the feedback we're getting has been less of an impact, if you will, than the existing home market. Even though we anticipate some decrease as we head into the first part of the year, some of that giving just a winter time period itself, some of that being an impact from the inflation. But what we're being told is there is a significant backlog of homes under construction today with approved buyers that have already locked in interest rates out there. And just to give you some example here, according to Texas Workforce Commission, just a couple of months ago, some of the data they're putting out, the Metroplex in particular, is experiencing pre-pandemic job growth with new hires exceeding 100,000 annually. The Austin area as well is seeing about 40,000 annual job growth. Unemployment in our service territories continues to remain low. And again, our builders and developers have a backlog of folks wanting qualified and ready to purchase homes. So good news to hear that our service territory, even with the inflationary environment we're currently in, continue to see strong job growth, strong economic growth. And our builders and developers are able to keep up with that demand. 
Gabe Moreen: Great. And then speaking of interest rates and kind of locking them in, kudos for locking in interest rates for some time on new instruments. I'm just curious in the current interest rate environment, whether you're going to continue to lock in interest rates in anticipation of debt issuance down the line? And then I guess a related question to the minimum book tax. You talked about that potentially hitting kind of towards the end of the five-year plan. Does that change at all the financing plans given the interest expense is tax deductible, would you shift a little bit more? Or to try to, I guess, minimize cash taxes, appreciating that, that's not for several years? 
Christopher Forsythe: Sure. Yes. Gabe, all the credit goes to -- Dan is here, his treasury team for locking in those rates, and we had the opportunity. We continue to look for opportunities to hedge interest rates. Obviously, in a rising price environment right now -- or rate environment, excuse me, it's challenging, but it's something that we will continue to look at, certainly month in and month out, as we continue to watch where the Fed is going with rate increases. With respect to the corporate minimum tax that cash need and therefore, the related financing is already assumed in the current five-year plan. We're expecting that tax to hit sometime in the next four to five years. The size of the impact is still a little bit TBD as we look at where the final rules around depreciation, how repairs are handled, that type of thing. But we have made some assumptions in that plan and it's reflected in our financing needs. 
Gabe Moreen: Great. Thank you.
Operator: Our next question comes from David Arcaro with Morgan Stanley. Please proceed with your question.
David Arcaro: Hey good morning. Thanks so much for taking my question. Wondering if you could talk just a little bit more about the customer bill outlook here? And whether you think there could be any increased pressure to manage rate increases going forward? Are there steps that you're looking at to take just to manage that outlook? 
Kevin Akers: Yes, I'll start. Again, it all begins first with our gas supply team and their ability to go out and get reliable, securable supply. And I think, Dan, for us, if you look at the major components of the bill, that's the commodity portion. You look at what's driving that upstream today. You're currently just short of 800 total rigs working in the U.S. today, about half of that over in the Permian. You look at where we sit today at Waha, it's $2 and some change. Right now, the forward look on that April out is in the $2 range. Even on the NYMEX, you look forward, there's a four handle out there. So all to say, I think the outlook in current conditions as we kind of work ourselves through this heating season forward. looks good for the commodity price to mitigate some as well on the customer bill. The other thing that I think is important for us to think about when it comes to affordability out there are the actions that our team, our public affairs team and our local corporate communications team do day in and day out at the state level and the federal level, advocating for light heat [ph] funding and state funding for energy assistance agencies out there. And just to give you an example, this year, our team was able to help almost 70,000 customers gain access to $34 million. So there's a lot of components that go into it. It's being able to secure reliable gas at a reasonable price. It's the ability to get customers the help when they need it. It's also the messaging to customers about what we're seeing. We released now three communications to our customers advising them of ways they can conserve on their energy bill as well. 
David Arcaro: Got it. Thanks for that. Very helpful. And then wondering if you could comment on the NTSB report that was published last month related to the gas incident from a year ago? And just what initiatives are being undertaken internally in response to that? 
Kevin Akers: Yes, we'll let the NTSB report standby itself. We're not going to comment on the NTSB report. We are a party to the investigation. We work closely with them and other parties to the investigation. I'll point you to our operational and report as well that's filed with NTSB, it outlines all of our safety initiatives, findings as well. 
David Arcaro: Okay, got it. Thanks. And just one quick follow-up on the tax side of things. Is there a cash tax level that you're expecting in the near term or for 2023 just as kind of a starting point as to what cash tax rate you're experiencing under the current business? 
Christopher Forsythe: Yes, in fiscal 2022, we were, I've got to say, a very minimal cash taxpayer, both from a federal and state perspective, very low double digits. We anticipate that to be similar for fiscal 2023 through 2025. And I said 2026, 2027, that's when we expect in that four to five-year period when the ANT [ph] will kick in. 
David Arcaro: Perfect. Okay, thanks so much.
Christopher Forsythe: Thank you.
Operator: [Operator Instructions] Our next question comes from Julien Dumoulin-Smith with Bank of America. Please proceed with your question.
Julien Dumoulin-Smith: Hey good morning team. Thank you for the time. Hope you guys are well? Just if I could go back to where Rich started at the top of the Q&A here. If I recall back last quarter, you guys said several months on the tax securitization issue. Can you talk about the -- just what that delay has been? And ultimately, what hoops need to be crossed here in terms of bringing this to finality? I get that there's probably a lot of administrative considerations, a lot of coordination with the state here. But just in terms of practically bringing this securitization to a close on the $2.2 billion, how do you think about what's driven a little bit of this delay ultimately? And your level of confidence that you'll be able to get this thing resolved ahead of the March timeline, which admittedly is well in excess of the next several months.
Kevin Akers: Yes, I'll start and then hand it over to Chris. Again, we have great confidence in the process that the legislature laid out that the Railroad Commission has approved and that the TPFA is going through now. Our role now is just supporting with questions -- answers to questions that the groups have. We're not sitting at the table or anything like that. We are just responding to Q&A or information request that sort of thing at this point. So again, we remain very confident in the process and the ability of the teams to get the answers they need to move forward. So, Chris, anything additional?
Christopher Forsythe: I think it's pretty well said, Kevin. And just as a reminder, too, a securitization of this nature, I think, is new for the state. And so they're just making sure all the and -- all the Is are dotted and all the Ts are crossed.
Julien Dumoulin-Smith: Got it. Right. So it's truly sort of administrative in execution in terms of the shift in time line? It seems like it and driven by the state more than you guys? 
Christopher Forsythe: Yes, absolutely.
Julien Dumoulin-Smith: Got it. Excellent. Thank you. And then if I can go back to the conversation on O&M as well. Obviously, pressure across the industry, you guys highlighting it in your 2023 numbers. If I can overlay that with the regulatory strategy as it exists today. I mean, as you think about your ability to earn your returns and just accelerate time lines on any kind of regulatory proceedings here, is that shifting anything at all? Obviously, you have a plethora of associated mechanisms across your portfolio of utilities. But can you speak a little bit to the extent to which this is shifting and/or accelerating some time line for recovery? Again, obviously, this in tandem with your elevated level of spending. I'm just curious if you can comment on that.
Kevin Akers: Yes. Again, Julien, I'll start, and Chris can add any comments. If you look at our mechanisms, most of our mechanisms are annual in nature. So they're on prescribed time lines, filing dates, orders on the back end of those sort of things. Those are prescribed. We're going to continue to follow those. Our projects are well laid out as you've seen. You hope for a long time now and how we like to go through planning our fiscal year and then the subsequent four years after that to get to our five-year plans. The only thing that's moving forward or backward is our safety and reliability investments depending on what we see from a need, a growth need, a compliance need, a safety need, those sort of things are levers for us to move things forward or backward to meet the growing demand on our customer system or safety on our system. 
Christopher Forsythe: Yes, and the one thing, Julien, I want to add to that, too, is that with our -- the regulatory strategy, the annual mechanisms, it's a smaller increase, if you will, each year. It also gives us the opportunity to stay in regular contact with our regulatory partners to -- so they understand what we're doing from a total spend perspective. And that's a part of the strategy as well is keeping them well informed of what's going on in our operations, what we're seeing from a safety, maintenance, compliance perspective so that when we do have the other filing in front of them, they're aware of what's included in that filing. 
Julien Dumoulin-Smith: Got it. Excellent. Thank you gentlemen. Appreciate it.
Christopher Forsythe: Thank you.
Kevin Akers: Thank you.
Operator: It appears that there are no further questions at this time. I would now like to turn the floor back over to Dan Meziere for closing comments. 
Daniel Meziere: Thank you. We appreciate your interest in Atmos Energy and thank you for joining us. A recording of this call will be available for replay on our website through December 31st, 2022. Have a good day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.